Operator: Good morning. My name is Yna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Energy Fuels Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session where you will be able to ask one question and one follow-up question should you desire. Thank you. Mr. Chalmers, you may begin your conference.
Mark Chalmers: Thank you very much. And, again, Mark Chalmers. I'm President and CEO of Energy Fuels, and thank you for joining this conference call today. I can say with absolute confidence that momentum is growing for our company quicker than ever before on three fronts. Iranian production ramp-up, three mines are operating, and more are planned. We have achieved commercial separation. Our phase one plant and our expansion projects are advancing. The heavy mineral sands and the closing of base resources on October 2nd. The moving forward of the Donald joint venture FID decision and exploration at the Bahia. And on top of that, we have the isotopes. It really is an exciting time for Energy Fuels. I will go through a presentation as I normally do on the progress in more detail shortly. The conference call will have replays available on the website later today or tomorrow, so people can refer to that if they are not able to attend this call. At this point in time, as always, at the end of the presentation, as Yna said, there will be time for questions. I have Nate Bennett, our Interim CFO and Chief Accounting Officer, and Dave Friedland, our Senior VP and Chief Legal Officer, who will also be available to answer any questions that I am not able to do so. So let's get going. Certainly, this first slide, and I always say I love this slide because it's in close proximity to the White Mesa Mill in San Juan County. Really, the title "Clean Energy Starts with Us."
Operator: And I always say on steroids because that has not changed.
Mark Chalmers: Next slide. I may be making some forward-looking statements, and those are included on this slide two in the presentation. Next slide. Again, many of you have seen this slide, but really, we're building a business around our ability to process uranium, and that is really our advantage that we have that nobody really has out there, with the exception of perhaps the Chinese. Our why is really the ability to contain naturally occurring radioactive materials. So when you look at uranium, if we're mining some of our uranium vanadium projects, again, the comment on Nader is uranium. The rare earth elements contain uranium and other radionuclides. Heavy mineral sands have a long history of having radionuclides with monazite, the uranium recycling, and medical isotopes. All built on a very strong financial strength. So again, this is playing to our strengths here. Not having the ability and the knowledge and the licenses and the permits to recover uranium and deal with the radionuclides is our secret weapon. Yeah. Next slide.
Mark Chalmers: So look at the company, several high-value product lines, uranium, and I said this many times, we produced two-thirds of uranium since about 2017. We're ramping up these three existing mines to a run rate of about 1.1 to 1.4 million pounds by the end of this year, and we will achieve that. The rare earths, and most of you are very aware of the requirements. They are for the most powerful magnets required for vehicles, wind, and other technologies. We successfully commissioned our phase one separation plant, and it has the capability up to a thousand tons per annum, which is equivalent to about one million electric vehicles. The heavy mineral sands, I'll talk more on that. The addition of that is very exciting to us, really focused on the titanium and zirconium elements, but also the material amounts of monazite that come with the heavy mineral sands securing our sources of molecules going forward. Vanadium, and we don't get a lot of airtime on that currently because the price of vanadium is down, but we have the only conventional vanadium plant in North America that can also restart in due course when prices are higher. In our recycling, which is really something that we built the company around over years. That is still there, and we're currently recycling uranium ores as we speak. Built on the financial strength at quarter close, we had $183 million US of working capital. Most of that is in cash and marketable securities and large inventories of uranium and vanadium. Next slide. So what we have here, and this is what's extraordinary and unusual, we have three businesses in one. We have a US leading uranium company, and we have been the US leading uranium company for decades. And then you have a rare earth element quickly emerging rare earth element company or sector, which we believe will have global significance. For NDPR, NDY, NTB, the elements to get the most efficient electric motors out there because of the characteristics of those elements. And then now, heavy mineral sands. We believe we will and are well on the path to being globally significant in the titanium and zirconium areas with the ability to also recover monazite. So that's what Energy Fuels is, and I always say this, we are valued as a uranium-only company, but this is moving forward in leaps and bounds. Next slide. We talk about our Q3 financial highlights. Next slide. We had a net loss of $12 million for the quarter. That was really largely a result of transaction costs. And that was offset a bit by uranium sales. We elected to sell 50,000 pounds of uranium, and really, we elected not to sell any more than that because the prices were lower, but that is just a matter of timing because we're currently mining this uranium and hauling it to the mill and stockpiling it. So it's really a point of catching up as the mill restarts. The mill is running right now on uranium feeds from both our alternate feed and some of the low-grade material that we have from a project in New Mexico. So we can and are in the position to do additional spot sales as required. We don't have any other contractual terms this year, and we have some lighter contractual terms next year. So we're really getting the flywheel moving. So when you look at it in whole, we have nearly $0.2 billion in liquidity. As I said, working capital of $183 million at quarter end. When you look at our product inventories at current prices, you can add another $10 million or so there. The inventories we have 235,000 pounds of uranium inventories is finished. Excuse me. About 900,000 pounds of vanadium, and we have over 800,000 pounds of work in progress that can be processed at the mill. So when you add up the finish and the work in progress, we have north of a million pounds of uranium either finished or in the process of being finished. And then in addition to that, we have some rare earth carbonate, and we have about 38 tons of NDPR in inventory. And no debt. No debt, and we're very proud of that. Next slide.
Mark Chalmers: So the big news in October was the closing of the transaction acquisition of base resources on October 2nd. We had a separate conference call in that regard a few weeks ago. We're just so excited about that because we think it is the foundation of being a company maker with these other parts of our business strategy. Base has now become Fuels. They have a very experienced management that is proven in the heavy mineral sand business, and that comes with this combination. Which, again, we think gives extraordinary momentum and expertise there. They have an exceptional track record on safety, environmental stewardship, and profitability. So with that also comes 100% ownership of the Tolyar project in Madagascar. Which we believe is one of the best heavy mineral sand deposits globally, and we also believe it is one of the biggest sources of monazite out there in the world, and I believe in due course, it has the ability to be one of the lowest-cost rare earth mines in the world. It is a massive resource that has the opportunity for further expansion. As I mentioned, it's both a titanium and zirconium project. Containing monazite and xenotime, which are the rare earths that will come along with the mining of that. We believe it also represents a source of monazite where effectively because the byproduct of the monazite, it comes along for free. That monazite xenotime that is produced will be processed at the White Mesa Mill facility in Utah. Next slide.
Mark Chalmers: So look at this slide, and the blue is what we have had for years. When you look at the uranium assets that we have, we're headquartered in Denver. As many of you know, the White Mesa Mill in Utah, and these are all assets that we've managed for decades. So we have the team in place here in Denver to manage those assets like we have for years. Now the southern hemisphere with the head office in Perth, with base taking the management of the heavy mineral sands, which they've been doing for the last decade plus. Certainly, they have the Tolyar project that we believe is advancing in a very positive way with the Madagascar government. There's still we don't have an exact date. We can provide, but we still believe we're in a good position there. But also managing the final days of the Qualia project in Kenya. Also, the base team is already doing work and participating with the Donald joint venture in Victoria, Australia. We're moving towards the FID decision, and they are also weighing in on the exploration at the Bahia project in the southern hemisphere or in Brazil. So again, the point I want to make, if people think we're overstretching ourselves, we already have the history of managing the blue and the northern hemisphere, which is really the hydrometallurgy and the uranium projects and the rare earth value add of processing in the southern hemisphere. The physical metallurgy is being managed by base with their long history. This is where it is a unique combination. That's where it is so complementary to our plans going forward. Next slide. So this is a real interesting slide, and Tim Carson from Base put this slide together, and I really like it. It shows how on the left-hand side, the mines, the uranium mines that we have, and then you look at the mineral sands projects we've accumulated or the relationships we have with companies like Chemours, and you see how that kind of marches across here. The uranium goes to White Mesa Mill, gets further processed into Yellowcake. On the right-hand side there, the end products, and then you also have the monazite also goes to White Mesa. It gets processed into the rare earth oxides. Then you have the heavy mineral sands. So what we've accumulated here, and you can really say we are asset-rich as a company, is we have the control of our molecules in the ground to go forward to further value adding at White Mesa. Now currently in phase one, the White Mesa mill, the phase one separation plant, and uranium plant are all one plant. I mean, we have a separate solvent extraction circuit for the rare earths. In phase one, though, we share the mill. When we move to phase two, we will separate the mill from the rare earth process facility, and there'll be two completely separate facilities. But it isn't holding us back at all when it comes to our current plans for the next few years. So when you look at, again, this graph, and move to the right, the end products as you end up with around ten critical element products, uranium, vanadium, advancing towards medical isotopes, rare earth oxides, titanium, and zirconium. I want to point out that we already know and have produced uranium for years. We have produced vanadium for years. The medical isotopes are new. The rare earth oxides we have demonstrated we can do that commercially. Recently with the commissioning of the phase one plant, and then you look at the base team has a long history of producing the titanium and the zirconium. So this is not a dream here we have, folks. This is a plan for a world-significant critical mineral hub. With the proven expertise and with proven mines and improving pipeline of mines, we are focused on building something of world significance. Next slide. So we'll talk a bit more about uranium, which has been our core business for decades and will continue to be our core business for decades. Next slide. We have signed a total of four contracts to date. I mentioned the uranium inventories, the work in progress finished goods. So you know, somewhere north of a million pounds of uranium inventory in different stages. We did sell in the first quarter 200,000 pounds under long-term contracts for about $75 per pound, but we've also sold this year about 250,000 pounds of uranium on the spot for around $91.50 a pound. Meanwhile, the spot price at the end of the quarter was about $82. This morning, I think, is $79.50. When you look at the sales price of the under contract versus the spot, I think it was around $84 or something like that, $85. So it's certainly been greater than the spot market. That is one of the advantages of having a blend of contracts and the ability to sell into the market. We're also looking to expand the production, and I'll talk about that more with reinitiating drilling at the Nichols Ranch in production area two and also advancing the Whirlwind project in Colorado. Next slide. So, again, many of you have seen these slides where we're ramping up our uranium production over the next year or two up to two million pounds subject to just the continued strong market environment we're here, the White Mesa mill. As I said, uranium ore is going into the mill right now. The Pinion Plain Mine in Arizona, the highest-grade mine that I know of in the history of the United States, we're doing advanced development there, and we're also doing drilling in what we call the Juniper Zone. We're also working through, I believe, in a very collaborative way with the Navajo Nation on the transport. We believe it's very positive, and we believe that the concerns the Navajo Nation has had about transported uranium ore, the negotiations we've been having have been very productive. We're also trying to tie that in to have a win-win with also assisting them with some of the cleanup of the abandoned uranium mines on the Navajo Nation, which are legacy mines, nothing to do with Energy Fuels. But we're trying to come up with a long-term outcome here. It's a positive for the company and for the Navajo Nation. We're very excited about that. Nicholas Ranch, I mentioned we're doing drilling. We're looking at a restart there in due course. Then La Salle complex, we have two mines operating there as we speak, and those are uranium vanadium mines. As I mentioned, it's not in any of our lists, but the Whirlwind Mine is also a mine we're looking at advancing, and it is not too far from itself, but it's in Colorado. Next slide, you look at the development pipeline. The Sheep Mountain project in Wyoming is an open pit, an underground mine. It is fully permitted. It's a very material project. The Roca Honda project, we're advancing the EIS at the Roca Honda. Again, a very material project in New Mexico. Very high grade for the United States, around 0.5% or so, but very high grade. Then the Henry Mountains project, the Bullfrog project, we're also initiating activities there. So this development pipeline in itself is significant and has the ability to increase above that two million pounds depending on the timing of those projects when they can be put into production of up to five or six million pounds of total production. So those are very exciting, and we're moving all these projects forward to be in a position to produce as the uranium market supports. Next slide. We'll talk about the rare earths and heavy mineral sands here. Next slide. I've talked about the phase one facility. That has been commissioned at the White Mesa Mill has a capability to process up to a thousand tons of NDPR per year. We had a few other residual costs in there, and the costs are about $19 million now. I think I'd said $16 million, but, again, extraordinary. To be able to build a facility like that for $19 million. Most people ask me to repeat that, and they usually last two or three times. One, you know, it was $16. They go one nine ninety one, you know, two hundred. You know, they don't believe it. And they can't believe it. But we did it, and the team at the mill did an extraordinary job there. Because of the successes that we've had with our securing of heavy mineral sands projects, we are looking to upgrade that phase one production capability up to six thousand tons of NDPR, which is about equivalent to what Lynas currently can produce and also be able to recover the DY and the TB in very material quantities. Now that is the ability to have the elements required for these electric vehicles of up to about six million electric vehicles per year. Now let's put that in context that General Motors and Ford are looking at getting that up to around two million electric vehicles per year at each of those. So six million is a big number. I want to make another comment too that some people say, well, the EV business isn't moving forward like it should be or was planned to be. But what's interesting is that the plug-in hybrids require the same amount of rare earths as an electric vehicle. So we believe that the fundamentals have never been stronger, and so we're going to be in a great position to move forward with that. So we're advancing our focus on feasibility study to ramp up the project. We did a prefeasibility study showing that the operating cost of a kilogram of NEPR around $30 a kilogram. The current price is around $60. If you get the monazite for a very low cost, which we think through our strategy we can have what we believe will be very, very attractive operating costs globally, and I believe could be very enviable in the business. We're doing this without diminishing our ability to produce uranium. I think people still get confused with that, but that is the case. Next slide. So the heavy mineral sands, I already talked about the combination with base October 2nd. The Tolyar project in Madagascar. Again, I see that it is an unbelievable project to add into our quiver here going forward. The quality of the project, as I mentioned, is scheduled to finish mining at the end of 2024. It is getting in the final reclamation mode. We've secured through the combination of base resource management the Donald project, as I mentioned, moving to FID decision in 2025, in Bahia. So, really, when you look at the heavy mineral sand side of our business, we are getting significant interest around the world. I've had people come up to me and say, you have acquired the projects we wish we had acquired. From heavy metal sands companies. So watch this space. Next slide. Looking at our strategy of integration from mining, from cracking, leaching, and separation, we have done those already and have the ability to do those. I've mentioned to many of you, we have Deb Benathan from General Motors who joined us. She's helping us with these next steps, metals, alloys towards magnets. We are very focused on advancing our integration strategy to include the metals and alloys, so watch this space. You can see the little map of how these projects will feed back into the White Mesa Mill. A global footprint, including Chemours. We are having a very diversified supply chain or we're building a diversified supply chain for our rare earth business, and that gives us a diverse country risk diversification. Again, building it to a very significant scale. Next slide. This slide is pretty similar to what we've done in the past, but showing both Donald and Bahia and Tuliar when you look at the sum of and the Chemours at the bottom line there in the gray, that gets us, we believe, well placed for up to six thousand tons of NDPR per year. But what we've added on the bottom there is we are advancing our uranium strategy. We plan to be at that about 1.1, 1.4 million pounds by the end of this year. But building that up over time to about two million pounds. Then with these other development projects in time, and it does take time, we build up with having this uranium strategy advancing rapidly while we're getting all the other pieces into place with our rare earth strategy and our heavy mineral sand strategy. So this is exciting. So you see phase one there. You see phase two there in that 2027-2028. Phase two and phase three, and we are piloting heavies right now at the White Mesa Mill. So it is an aggressive strategy. But I can say watch this space, watch the momentum, and see how we unfold this. Because now is the time to demonstrate our ability to execute. Next slide. The longer-term growth opportunities, next slide, the medical isotopes. I always say that when you're processing uranium ores, you're processing monazite, you solubilize a number of elements, and a couple of the elements that you solubilize is radium 226 and 228. We acquired Radtran in August, and they're a company specialized in separating critical isotopes, particularly radium 226 and 228, to be used in targeted alpha therapy therapies. We've got a research and development license, and we're planning to be recovering research and development quantities of radium 226 later this year or early in 2025. We're getting very significant interest in the ability for companies, for pharmaceutical companies looking for sources of radium that they can put their foot on to take to that further chain of making these targeted alpha therapies for cancer treatment. So this is a sleeper. It's still early stages. I didn't include it in those top three that are advancing rapidly, but this is also advancing rapidly. But we still have work to do. Again, watch this space. Next slide. We talk a little bit about recycling and our commitment to the community. Excellent. You're ahead of me, Kim. We continue to be one of the largest private employers in San Juan County. We currently have about 80 employees at the White Mesa Mill, then we have 35 employees at the Pinion Plain Mine, which is not in San Juan County, but just south of it. Then you have the LaSalle complex where we have our own uranium mine and a contract mine. They combined, you've got about 150 people in the uranium space focused right now producing uranium. So this is a substantial effort on the uranium production front. I've talked about the advancements when we start looking to the future when we have phase two, phase three, at the mill. This is gonna be a big deal for San Juan County and a big deal for Utah and a big deal for the United States when we have the capacity to produce these world quantity scale low-cost critical elements, not one element, but up to ten elements. We've all seen how brutal the critical metal space is when it comes to, like, lithium, graphite, cobalt, even the uranium. When uranium price went from $105 or $106 to $80, the price of equities, there's a 25% drop in uranium price, and equities dropped around 50%. So it's brutal, and we're looking for diversification. So when you look at, and I mentioned the Navajo Nation, with this transport agreement that we're working on, we're still front and center looking at helping the Navajo Nation on a cleanup of some of these abandoned mines, and I believe we can do so much there, which will be a really great outcome for both companies. As I've mentioned before, the ability of the mill to recover and recycle uranium and vanadium that would have been lost previously to this disposal is the reason the mill has stood the test of time and is the only operable mill in the United States. The foundation, as I've mentioned, we put a million dollars into the foundation a few years ago, and we've committed 1% of the annual revenues for the White Mesa Mill there, all focused on education, environment, wellness, and a large portion going to Native American priorities. Next slide. So this last slide on guidance and focus, we're looking at around 150,000 to 200,000 pounds of finished uranium at the end of the year. The main reason that is down a bit from previous is really just this working out this agreement with the Navajo Nation on the transport, which again, I think we're advancing well on. Meanwhile, we have almost a million pounds, as I mentioned, in inventory finished and work in progress, and we're adding to that every day when we catch up the mill processing will be running well into next year and beyond, and there'll be a bit of a catch-up. So it's really just a lag of getting the material at the site and being able to process it. So we don't have any further contract sales this year. We do have some contract sales later next year of around 300,000 pounds. So that's not really affecting us at this point in time. With getting this ore to the site for further processing. We may consider other spot sales if we feel we want to sell uranium. I talked about the three mines that are already operating and the focus to increase that. I mentioned the commissioning of the phase one NDPR circuit and the 38 tons of NDPR that's been produced, which we are sending out for qualification with metals and magnet makers right now. We have substantial quantities, and we usually send them out a couple of kilograms, and if they say they need more, we say, well, you take a ton. Or two tons? Not many people can do that. Full speed ahead on uranium processing while we get these other projects full speed ahead on phase two, phase three. Full speed ahead at drilling at Brazil, integrating the base team into the Energy Fuels team, getting this momentum going on multiple fronts. It is really an extraordinary time at Energy Fuels. So now the last slide, and I want to add one comment. The list of molecules is increasing. With titanium and zirconium? And the rare earths. They all have the common denominator that there is radioactivity somehow involved with them, and that is our secret weapon here. Open for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a prompt that your hand has been raised. Should you wish to cancel the request, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. Thank you. That is star and one to ask a question. Just a reminder, questions be limited to one question and one follow-up. Your first question comes from the line of Heiko Ihle from H. C. Wainwright. Please go ahead.
Heiko Ihle: Hey there. Can you guys hear me okay?
Mark Chalmers: Yeah, Heiko. We got you.
Heiko Ihle: Cool. Thanks for taking my questions, and congratulations on getting this very transformational deal done. Speaking of, tomorrow, it'll officially be a month since you closed the base resources deal. For a decent amount of time for the teams to, you know, get to know each other, work out maybe minor kinks. In that process, have there been any surprises either positive or I assume nothing really negative, but anything positive surprise or negative that you encountered? Any efficiencies that you're encountering that maybe you didn't really expect?
Mark Chalmers: No, Heiko. I think it's all going as scheduled. I mean, we've gotta get the teams together, and, you know, you've got two separate companies, and it always takes some time to blend that together. I was down at the close for about a week. We've got people going back and forth between both entities. So I don't think there's any surprises, but there's these opportunities. Like, for example, in Brisbane this week on the Donald project, we had a workshop where we had five people from base working with the technical experts from Astron and their consultants looking at all the assumptions being made in the FID process and design and recoveries and, you know, operability and all that. So we're putting people to work. I think that's the main thing is we're putting people to work between the two companies, but it is, you know, an integration is an integration, and what I tell people is, you know, we have two teams here that are very proud of what they do and how they do it. That is a great thing. That's a great thing. So we've got people that want to make things happen. Both organizations are doer-focused. Doer-focused, focused on profitability, focused on accomplishing significant things.
Heiko Ihle: Fair enough. Good answer. Okay. Building on something that came up earlier on this call, you mentioned that you sold 150,000 pounds at I think you said $91 in the spot market this year. Just following up on that, the long-term contracts with utilities that you're currently not even necessarily yours, but just in general. The long-term contracts that you're seeing with utilities that are getting done, have there been any changes related to pricing at the duration versus where we would have been, call it, twelve months ago?
Mark Chalmers: Yeah. I think the utilities are starting to understand that the market isn't gonna retreat back to $30, $40, and so if you go back to there was kind of a couple cycles, like, when you had the Russian Ukraine conflict, there was a flurry of contracts that were done, you know, a month or two after that. Those are generally speaking lower priced, and then as time has progressed and as uranium prices have gone up to $105 and $80 and stayed there, I think you're definitely seeing an increase in the floors and the ceilings. Prices are going up. So I think that the utilities are accepting that the nuclear and the demand is growing. The focus on data centers, artificial intelligence is growing. The restarts of reactors around the world are growing, and I think they're getting a bit nervous because they see that. The thing about the uranium industry is it doesn't respond quickly. It's hard to get a project up. It's hard to get through the steps of integration in the nuclear fuel cycle through conversion and enrichment. So yeah, I think people are getting used to these higher contract prices, and that also creates an opportunity to force going forward.
Heiko Ihle: Cool. I'll get back into you. Think I saw some of my questions here. Thanks for taking them, and I'll talk to you soon.
Mark Chalmers: Thank you, Heiko.
Operator: Thank you. And your next question comes from the line of Justin Chan from SEP Resource Finance. Please go ahead.
Justin Chan: Hi, Mark. Great to talk to you.
Mark Chalmers: Yeah. Thanks for taking the call. I guess my question is on your thoughts on your inventory and next year. You've got 800,000 pounds in various store inventories. I guess, what's your current thinking on production next year? On where we are with Spot? And maybe could you give us some color on the volumes and timing? Is there any constraints on timing through the year for your contract to drain in sales next year?
Mark Chalmers: Yeah. We haven't given formal guidance for next year yet, Justin. You know, as I said, between finished and work in progress, we've got about a million pounds, and ores showing up at the mill every day. I mean, you get to a point where, you know, you try to get in the equilibrium, like, if we process this, you know, in the order of a million pounds, and we're bringing more material in, it should reach an equilibrium or closer equilibrium in my mind in due course as we get the flywheel going. Our contracts that we have next year are towards the end of the year, and as I said, around 300,000 pounds total. So we're pretty wide open. But the contracts start ramping up the following years, Justin. We're gonna be looking at contracts, spot, uranium prices, try to maximize it. Kinda like what we did this year, you know, where we sold 250 in spot, 200 under contract. But we're focusing on ramping it up to that a couple hundred couple million pounds per year probably the following year or two, you know, 2026-ish, 2027-ish, somewhere in there. But we should be, I believe we're gonna be pushing well north of one to two, you know, well, we always said we're gonna be doing that by the end of the year. But, yeah, I don't wanna give guidance yet. We'll get back to the market in due course.
Justin Chan: Gotcha. No. Thanks. That's helpful color. And maybe just a bit more as a follow-up on mill activities for next year, as you're thinking a bit. So, I mean, will most of the year be uranium? Will you have any more monazite to run a rare earth campaign? And then just trying to get a sense of how you think about the calendar year. Like, will uranium processing start kind of early in the year? Will it switch between rare earth and uranium? I realize that you don't have guidance. I'm just trying to get a sense of what maybe you're thinking.
Mark Chalmers: Yeah. The focus next year is gonna be on uranium production. You know, at this moment, the only monazite we get is from Chemours. Monazite is coming from Chemours right now. I mean, we've got it showing up, just stockpiling it, you know, and that's the unique thing that we have here is we got this big facility. We've got uranium ores in from different mines, different alternate feed, and then we've got monazite. So the focus will be on uranium. We don't have any current plans to go back into processing the monazite. That could change. Depending on what we secure, and so when you look at when we go back into processing a monazite at a larger scale, I mean, kinda be thinking towards, like, 2027, but there could be a run-in between. Depending on, you know, how much uranium ore we have to process versus how much monazite we have to process.
Justin Chan: Gotcha. Okay. Thanks, Mark. That's really helpful. I'm sure we'll follow up at some point after this call. Thanks very much. I'll see you at the line.
Mark Chalmers: Thank you, Justin.
Operator: Thank you. And your next question comes from the line of Joseph Reagor from Roth Capital Partners. Please go ahead.
Joseph Reagor: Hey, Mark and team. Thanks for taking my questions. I think most of the things were already touched on, but just more quick items. One on ongoing negotiations with the Navajo Nations. At what point would you guys consider an alternative shipping solution here?
Mark Chalmers: Really, we think that we're gonna get there with the existing shipping, you know, highways and whatnot. So yeah. I mean, right now, we're very encouraged with how these discussions are going. A big part of it has been education, making them comfortable, and so we think we're gonna get there. As I said, we're looking at something holistic that's a win-win for both groups. We're looking at the cleanup, which is really exciting for, I mean, I think tying sort of there's a tie between those. But it'd be a great outcome. It'd be a really, really good outcome. What's interesting too on this whole these negotiations and stuff is very little cleanup has been able to happen on the reservation. Because it didn't have a way to deal with the cleanup. We give an outlet to the Navajo Nation, which we think is very powerful. For them. So, you know, watch this space. But, you know, I don't want people to be fearful that we're not gonna get there because I really do think that people in the room talking are trying to get there.
Joseph Reagor: Okay. Fair enough. And then last thing, just a housekeeping item. Post the special dividend to the base resource shareholders. How much cash did you guys get in the acquisition?
Mark Chalmers: Let me ask what do we got? As far as cash goes, it you know, so they So Belkin Space will continue to operate the quality line, and that'll wrap up here at the end of 2024. So they're using the cash that they have plus the revenue that they're gonna sell fourth quarter which should be around $40 to $45 million in the fourth quarter. So all of that cash and operations is gonna be used to wrap up the production in the fourth quarter and then also to perform the reclamation off on for the quality mine. So all that stays within days the cash that they had to finish up operations in the reclamation liability. So we didn't actually transfer any cash or move any cash to Energy Fuels. Clarifies your question.
Joseph Reagor: Okay. Just quick follow-up to that. So will you guys book that revenue? On your income statement then, since the transaction closed during the quarter?
Mark Chalmers: That is correct. So we will you will see the fourth quarter of base resources consolidated into our Energy Fuels financial statements that we'll file at year-end. That'll include just the fourth quarter and include that revenue that you'll see from base in the fourth quarter.
Joseph Reagor: Okay.
Mark Chalmers: Thanks. I'll turn it over.
Operator: Thank you. And your next question comes from the line of Noel Parks from Thulebrodt Investments Research. Please go ahead.
Noel Parks: Hi. Good afternoon. Just wanted to ask about the White Mill pre-feasibility study, there was a mention in the queue that that was being looked at just for expansion of the output capacity. Please talk about what's involved in that and if you have any sense of time frame, that'd be great.
Mark Chalmers: Yeah. Well, we did this pre-feasibility study a year or so ago that was looking at around three thousand tons of NDPR processing capacity previously. That was before we had the base transaction and whatnot. So because of the successes that we've had with gathering these significant projects that have the ability if they're developed to these larger quantities, we're going to this larger scale. We're currently working with a couple of engineering companies trying to advance the engineering companies to help us with those feasibility studies to get to that six thousand tons. We were having discussions with right now there's been a lot of work done. We have a huge amount of data because of what we've done in the laboratory, what we've done with this phase one, commercial operation. So, I mean, I believe we'll have a feasibility study in the middle of 2025. With this phase two in hand. That's the goal. Once we get that in hand and get the flow sheets and whatnot, we're gonna advance the permitting with the state of Utah. They're expecting it. This is gonna be coming. So assume it takes us the middle of the year to finish up the engineering feasibility work, start going right into permitting, to get the permitting so in that 2027, 2028 time period, when you start seeing material quantities of monazite heavy mineral sands from these projects that we've acquired, the timing aligns quite well. Now the one thing that I can say is that because we do have the phase one plant constructed, that we do have the ability if we have monazite sooner than that, we can process that. We can shift the mill back into rare earth mode and process that. So, you know, it's not very often that you have a uranium plant, a phase one plant, a phase two plant that's work in progress and have that flexibility. So, you know, we're in a unique position there. To be flexible.
Noel Parks: Hey. Thanks for going ahead.
Operator: Thank you. Once again, should you have a question, please press star then the number one on your telephone keypad. Your next question comes from the line of Michael Zack from Cantor Fitzgerald. Please go ahead.
Michael Zack: Yeah. Good afternoon, Mark and team. Just one question for me. That new contract that you signed in the quarter with the U.S. Utility, where did the floors and ceilings print on that? And if you can't give me the exact price to the dollar, I understand. I don't wanna get you in trouble. Maybe if you could round it to the nearest five dollars per pound, I'd appreciate it. Thanks.
Mark Chalmers: I don't know if I can round it. There's five dollars a pound. My CFO was shaking his head, and I think my lawyer is too. So yeah. Look. The contract and this is a unique one for us that we have the ability to do contracts that others are not able to. A lot of these companies that are starting up, they need like a six, eight-year contract because they're trying to get their project financing and the this fourth contract that we signed, it's got a like a two-year term and then an option to extend for two years. So it's a two plus two to four. It gives them the ability to kind of put that out another two years if they want to. But definitely, the floors are increasing. The ceilings are increasing. Mike, I think, you know, you talking to other uranium producers or uranium wannabes producers, they'll confirm that. But, you know, the utilities tell us not to give out those financial terms, and so we can't. So there is a trend of increasing floors and increasing ceilings, but we have unique flexibility in that we're not having to go out and raise or fund a five hundred or billion-dollar project, and we can do, you know, two-year, three-year, four-year, whatever. It isn't tied to financing. But it is very encouraging. We like this new contract we have. Curtis was in Kansas City at this last conference, and he says utilities are out there. They're out there, and they're looking at needing more product. So I believe the trend's gonna continue, Mike.
Michael Zack: I appreciate that color. Maybe and I totally understand not being able to provide the dollar amounts. Maybe if I could follow-up though. Would you characterize your material versus other contracts that you're hearing that are being signed? You characterize your materials getting a premium or in line? With the contract terms more recently.
Mark Chalmers: I think they're very attractive for our circumstances. That's fair enough. We're not being penalized. Let's put it that way. Okay. We're not being penalized because we signed the contract. I think they're very attractive to us as a company. And how we can fit that into our production profile.
Michael Zack: I appreciate that. Thank you.
Operator: Thank you. And your next question comes from the line of Erin Vanekana from CU Boulder. Please go ahead.
Erin Vanekana: Hi, Mark. Appreciate you taking my question. And for all your time today. Couple quick questions on the rare earth side. So you mentioned that $29.88 per kilogram NDPR processing cost. I just wanted to clarify whether that was driven by the low-cost monazite procurement or that it will be driven further down by low-cost monazite procurement?
Mark Chalmers: No. That's just kind of the cost of it. If you have a ton of monazite processes at the mill, it's around $30 per kilogram. The point is that if you take a project like Tulliar that supports itself without any credit for monazite. I mean, it generates cash. Their feasibility study said around $200 million of EBITDA over 38 years or something. Without any credit for monazite. Now, when you look at the PFS that they did on the addition of the rare earths and the monazite is very, very low strike rate to actually recover the monazite. So depending on how you account for it going forward, if the heavy mineral sand project is really able to carry the load and get monazite for free. And transport it to the mill, you can basically add that onto the $30. So if the monazite was actually free, delivered, you could say $30 plus zero if you have to pay for the shipping, you know, there's different ways you get there, but I think the bottom line is we believe that our strategy with having the molecules in place and having heavy mineral sand projects that stand on their own without any rare earth credit. This is where it is a police for a great outcome. Do you have, you know, ten dollars or twenty or nothing on the thirty bucks? Okay. So, you know, each project will be different. As we get these projects advanced, we update our studies and have the ability to disclose this, we'll disclose the market in due course.
Erin Vanekana: Gotcha. Gotcha. Appreciate that, Mark. And then just looking down the timeline for the phase two and three, for air separation plants. Just wondering why what goes into the decision to produce NDPR versus separating those two output further. Is that just due to the economics of like, the price delta between separated ND and separated PR versus NDPR together? And then also just wondering if you could provide like, any type of scale on how much building those phase two and three plants will take compared to the $19 million for phase one.
Mark Chalmers: Yeah. I think, you know, whether we split out and separate to ND and PR separate. I don't have my mill guy here, but I think the ratio is about 75-25 or something. It seems to be adequate for most of these metals, alloys, and magnet manufacturers, the current ratio. Could they split them out? I think they can. But right now, we're trying to just keep them together. As I said, we're doing the piloting on the phase three, which is the DY and the TB as we speak. So, you know, I'd have to talk to him about what it would take to split them out separately. But the ratios are, we believe, adequate for the market. When you look at the capital cost, we don't have those numbers revised. Now the fact that we are able to build phase one for $19 million, we built it in the existing solvent extraction building, so we didn't have to build a new building. We did put a roof on it, and that's included in the cost, I think. So we got a new roof on top of the SaaSX building. We were able to do it because we used existing infrastructure. Now looking to the future, and I don't have the feasibility. The pre-feasibility on the three thousand was, like, $350 million. Is that what it was? So, certainly, if we double it, it's gonna be larger than that. But I think there's also things that, you know, you saw what we could do with phase one plan. We've got some real creative people. Deb, you do. Okay. She says that the magnet measures by an NDPR oxide, but not the individual PR NDPR oxide. Okay. There you go. Our people are messaging in as we speak on the NDPR question. So we don't have a number, but, you know, I think something north of $350, $500-ish. I don't know. I don't wanna be tied down to a number. But we've gotta get the engineering complete. The other thing I wanna point out though is when you look at the cost of doing business in Utah, compared to places like Western Australia, you know, we're at a real advantage here because we get water for effectively free. We got good sources of water. Power costs are low. Labor costs, great work ethic. Not fly in, fly out. Lesser social costs in some of these other jurisdictions. We'll be at a strike rate, we'll be far less than people like Lynas and Luca when it comes to building the plant. So, you know, we're not expecting a two billion dollars plant here. Like some of the others.
Erin Vanekana: Great. Yeah. And then congratulations on the $19 million phase one. It's really impressive. Really appreciate your time today, Mark.
Mark Chalmers: Okay. Yeah. I've seen I won't mention companies, but I know one company is building a pilot plant for $50 million. It won't be a commercial plant, a pilot plant. To do the same thing.
Operator: Thank you. And your next question comes from the line of Puneet Singh from Eight Capital. Please go ahead.
Puneet Singh: Hey, Mark. Just had a question on conventional versus ISR. I know you're prepping the Nichols Ranch ISR, but some of the US peers have been struggling with ISRs. Just talk to us about the advantage and disadvantage of each technique from an operational perspective because I know you're pushing the conventional assets first. Just wanna understand how that could be a strategic advantage for you. Then I know you mentioned some of the people at site. Maybe just talk to us about how you've been able to fill the labor needed for each asset because that's something that's always talked about for US production as well. Thanks.
Mark Chalmers: Yeah. Yeah, Puneet. As you know, I've got experience with both. A lot of people don't. Okay? You get the ISR miners if that's all they've done. You get the conventional miners, that's all they've done. So I've done both, and there are advantages to both. Okay. One of the advantages of conventional that gets, I think, underappreciated by the ISR folks is that with the conventional, I can go mine a ton of ore. Then I can mine it and I can either not mine it or I can ship it out and put it at the mine on stockpile. I can ship it to the mill and put it in stockpile. Then I can process it, but I can stop it at any place. I can stop a conventional mine today. If I said stop the mines, I can stop it right now. And they stop. That's an advantage. It's an advantage because you're not having to be all in for five or ten years in a cycle to produce a pound of uranium. People don't appreciate that advantage. That is one of the reasons we started up our conventional projects. It's not just the only reason because we see the Pinion Plain Mine, this high-grade mine is very, very cost-effective. We also have the ability to start and stop, as I said. When you do ISR, you have to put in the well fields, and you have to extract the uranium. Takes two to three years to get the uranium out. Now you're looking at three, four years, and you don't get uranium out if you don't keep going. Okay? Then you have to restore those aquifers, and that can take a long time. I won't extrapolate there, but it can take a very long time. So you're really committing to a pound of uranium for ten years. You can't start or stop. Now with long-term contracts, a more security of supply, in terms of the people that are gonna buy your product, having long-term contracts, eight-year contracts, whatever, that starts fitting into the world of ISR better. But the other thing with ISR, and I think a lot of are experiencing in Wyoming, is the cost of drilling has gone up. Significantly. Okay? The cost of putting in a pattern becomes a big part of what it costs you to produce a pound of uranium. So they're different animals. Lastly, with ISR, it can be very variable depending on how the uranium solubilizes underground and comes to the surface. If I mine a ton of ore in a conventional sense, I can literally walk it through the process plant, and I can tell at each step what recoveries I'm getting, what my reagent consumptions are, what kind of heat do I need, retention time, and everything. So those are very different. On the ISR front, finding people, I think, places like Casper where you've got three or four companies competing for bodies is creating issues because people are poaching from each other. So that makes it difficult for people and with the skill sets of actually operating a successful ISR project. When you go down to White Mesa, in our uranium mines, you know, Blaney is a very stable community workforce. Very tight community. We haven't had any real issues with people getting poached from White Mesa, but also because it's a very tight team that works really well together. Miners are hard to find. We're training a lot of miners. People that call themselves miners aren't necessarily have all the skill sets that are required. So it is a different world. It is harder to start up now than I have ever seen in my career because of the shortage of skills. We're making progress. But it has not been easy. I don't know. I guess I'm kinda long-winded, but, Puneet, if you're ever wanna take it offline on the pros and cons of ISR, happy to do that with you.
Puneet Singh: Yeah. I know. Right? As you're reading, Alex. I just wanted to see the advantage because you're everybody else doing ISR. Right? You're doing conventional starts, I think. You do have an advantage yourself there, but labor's just been hard all around. So had to ask questions. Yeah. Thanks.
Mark Chalmers: But there are real advantages depending on which method is selected and what environment is selected. There are people that say ISR is the only way to mine, and it's conventional is also a good, you know, and proven methodology. In a lot of cases, it's the only methodology to be used. In our cases, like Pinion Plain, you're not gonna ISR Pinion Plain. You're gonna mine it conventionally. Cameco is conventional. Olympic Dam is conventional.
Puneet Singh: Yeah. Exactly. Yeah. Thanks, Mark.
Operator: Thank you. Once again, should you have a question, please press star then the number one on your telephone keypad. Your next question comes from the line of Dave McCosland. Please go ahead.
Dave McCosland: Oh, hey. Thank you very much. Boy, I've got about eight questions, but I wanna concentrate because I was an investor about six years ago with Lynas, and I gave up because of Malaysia issues and stuff like that. But when you got involved with Bahia, I said, oh my god. This is so great. You know, we really need RE production here in the United States. To get us away from relying on China for permanent magnets. In any case, so it's a huge step. Gonna take a lot of money. It's gonna take and you're around the world involved in it. But when I started looking at your news, you were involved with a company called NanoPowders. All their scientists came from Cabot Corp. Associated with your pre-getting, before you got actually into extracting MBPR out of Monazite, how important has their contribution been to what you're doing there? Kinda sounds like you're a more conventional acid leach still. I mean, it sounded like from the news release that the technology that they were trying to develop for you would be your technology and you would control it by giving you a competitive advantage. If not, you can possibly even sell it to other people because with face it. Breaking down something that's so permanent like Monazite, Mother Nature's been trying to break it down for millions of years, and it's kinda what's left. You know, and getting particular atoms out of it. It's not like getting jelly beans out of a can of sugar. So where did the NanoPowders deal fit in? Or is it behind you? Because I think you spent a decent amount of money on it.
Mark Chalmers: Well, there's a couple of things. There's Neo for we started working with early on when we announced we're getting the rare earth business in 2020. That was where we made a carbonate. We shipped it to Estonia back in the days, Constantine was CEO, and yeah, we still have a relationship with Neo and we look at what the opportunities are in the future. But NanoScale Powders, that was kind of an R&D initiative that we explored that, you know, we didn't go forward with. We still have some issues of what actually, one of the guys that was involved with NanoScale Powders has passed away, but so there's the Neo relay.
Dave McCosland: No. That answers my question. That answers my question. I thought yeah. I thought maybe what was going on at Whitemill was, you know, somewhat secret because you had keys to unlock Monazite that other people didn't have. Okay? But it always sounds like that's the case.
Mark Chalmers: The case we have is that we can process this at White Mesa Mill. We can recover the rare earth and uranium. We can deal with the radionuclides. We have the tailings facilities. You said you were an early investor in Lynas. Now Lynas also mines monazite, but it's not monazite sand. It's hard rock monazite. They've had significant problems with the Malaysian government on the residuals. I don't know where that is at this point in time. But that's one of the reasons they did a crack and leach facility in Kalgoorlie, Western Australia. Which was a challenge for them because of the cost. Of building a facility and the availability of water and acid and people. And all that. Processing Monazite for us is not a big issue at all because we want more radioactivity like uranium because we can monetize it. It's about the same grade as our mines like LaSalle or Pandora. That's an attribute that we welcome to be able to recover that uranium.
Operator: Thank you. And your next question comes from the line of Justin Chan from SEP Resource Finance. Please go ahead.
Justin Chan: Hi, Mark. Hopefully, I'm not breaking the rules too badly with a second question here. Just I saw in the quarterly, there's some commentary on Bahia, and I think it's a seven to ten thousand tons of Monazite. Which sounds like, you know, a lot of the kind of the scoping work you've done starting to define what the project looks like. I was wondering if you could give us more color on the work you've done and how the project's shaping up.
Mark Chalmers: Yeah. I'm just going back and see what I did say here. We had but, well, Bahia, we said three to five, and then we said Donald is up to seven in phase one. Okay. So you wanted me to talk about Bahia then?
Justin Chan: Yeah. Yeah. Just I mean, I think I could be wrong, but it was the first time I've seen kind of numbers put around scale there.
Mark Chalmers: Well, I'm looking at page nineteen in the presentation. It's three to five. But the Bahia project, we bought a Sonic drill rig. We're using that right now. We've got a large land position there. We hired a country manager that was ex-Rio Tinto. Brazilian, and we've got, I don't know, ten employees down in Brazil. We've also had support from BASE go to Brazil looking at the exploration program. We're also advancing towards the permits for putting that project into place, doing a lot of the studies that are required for that. It is still early stages. We've gotta get your resource, and we're focused on getting to a resource in 2025. Also getting, as I said, support from base with their expertise in that regard. It's moving forward at a significant pace. But its earlier stages are than like the Donald project and the Tolliar project. They have more data, more study, more feasibility work, more permits. So, I mean, Donald project is effectively permitted. So, yeah, there are three different animals. Let's leave it at that.
Operator: Thank you. No further questions at this time. I will now hand the call back to Mr. Mark Chalmers, for any closing remarks.
Mark Chalmers: Yeah. Thank you. My closing comments are that was a lot of questions, and that's good. Happy to get that kind of interest in what we're doing. What we're doing is different than others. I think that people are starting to understand the significance of what we're doing. We're playing a long game here, not a short game. We're building a company for the future. That company, we are focused on being, as I said, world-significant, low-cost, with these multiple elements. We are proud of that. We're driving our bus, and we believe that the focus that we're taking, we think that as this becomes clear to investors, that gives us an opportunity for further rerates in the stock and appreciation for the strategy. So appreciate our current shareholders, I look forward to new shareholders, and I look forward to giving more updates in due course, which I'm really excited and looking forward to doing. I just got a lot of work to do, and we're gonna keep focused on that. Look forward to our future updates. Thank you very much.
Operator: Thank you for participating in the Energy Fuels conference call. Please reach out to the company directly for any additional investment questions. You may now disconnect.